Operator: Good morning and welcome to Zebra Technologies Second Quarter 2015 Earnings Release Conference Call. Joining us from Zebra Technologies are Anders Gustafsson, Chief Executive Officer; Mike Smiley, Chief Financial Officer; Joe Heel, Senior Vice President, Global Sales; and Dean Lindroth, Vice President, Finance. All lines will be in a listen-only mode until after today’s presentation. [Operator Instructions] At the request of Zebra Technologies, this conference call is being recorded. Should anyone have any objections, please disconnect at this time. And at this time, I would now like to introduce Mr. Dean Lindroth of Zebra Technologies. Sir, you may begin.
Dean Lindroth: Thank you and good morning. Thank you for joining us today. Today’s call will include prepared remarks from Anders Gustafsson and Mike Smiley. Joe Heel will join for the Q&A portion of the call. A replay of this call will be available on our website approximately 2 hours after the conclusion of the call. Certain statements made on this call will relate to future events or circumstances, and therefore, will be forward-looking statements within the meaning of the Securities Litigation Reform Act of 1995. Words such as expect, believe, anticipate and outlook are a few examples of words identifying a forward-looking statement. Forward-looking information is subject to various risks and uncertainties, which could significantly affect expected results. Information about risk factors that could impact our results is noted in the press release we issued this morning and is also described in Zebra’s latest 10-K, which is on file with the SEC. Finally, we will be making references today to both GAAP and non-GAAP measures. You can find reconciliations of our GAAP to non-GAAP results in today’s press release. In addition, year-over-year sales growth references for enterprise and total Zebra will be on an estimated historical basis. I will now turn the call over to Anders.
Anders Gustafsson: Thank you, Dean and good morning everyone. This morning, we reported another strong quarter of revenue growth, broad-based demand in mobile computing, scanning and printing and solid execution drove second quarter sales to $894 million, excluding purchase accounting adjustments. This represents 11% year-over-year growth on a constant currency basis. We are seeing the impact of our focus on strengthening the Enterprise business and the benefits of being One Zebra. Non-GAAP earnings per share were $1.05, up 14% from a year ago and adjusted EBITDA was $132 million. While sales were near the top end of our prior guidance range, earnings were at the lower end as a result of two main drivers that impacted gross margin. First, we had approximately 1 percentage point impact related to one-time factors, which Mike will comment on in a moment. Second, our success in winning large deals, particularly in mobile computing, was higher than we anticipated resulting in an adverse impact to gross margin percentage. Importantly, while rapid growth in sales and of customer-facing and in mobility devices has put some near-term pressure on mobile computing margins. We believe this will be mitigated by an increased mix of higher margin run-rate business from cost reductions and continued strong growth in our task-oriented and industrial class devices. I will now share some highlights of the business for the second quarter. Our focus on the customer, execution in the channel and an industry leading portfolio of product portfolio are clearly differentiating Zebra in the marketplace. Enterprise sales increased 2% or 9% in constant currency. Pre-transaction Zebra sales grew 11% or 17% in constant currency. From a regional perspective, we delivered solid growth in our three largest regions. Quarter-over-quarter growth was 7% in North America, 16% in constant currency in EMEA, and 20% in Asia-Pacific. Latin America was essentially flat. In North America, sales in printing and mobile computing were strong, particularly with large retail customers. In the quarter, we were also successful in securing two highly contested retail orders. The first was the multimillion dollar deal in which we will displace incumbent consumer devices and printers as well as provide Zebra OneCare services. The second was one of the largest mobile computing orders in our history, where the runner up was the leading consumer device. These are both strong examples of Zebra’s ability to successfully demonstrate the benefits of our commercial class devices over consumer devices. These include higher durability, lower total cost of ownership, superior device management and security. In healthcare, we saw a strengthening pipeline and solid demand, particularly in printing for patient care and productivity improvements. In EMEA, results in the quarter were driven by an outstanding sales effort and strong execution in the channel. Sales growth in both enterprise and printing was broad-based geographically, with particular strength in large customer accounts in postal, transportation and logistics and retail. This was supported by growth trends in e-commerce, applications around parcel labeling and tracking and personal shopping. In addition, we displaced a major competitor by winning a significant multiyear award with the Royal Mail in the UK. We will provide 76,000 of our new TC75 mobile computers, which feature a unique touch screen display, enhanced battery life and signature capture. Once deployed, this solution for field service and delivery applications will increase staff mobility, operational efficiency and quality of service. In Asia-Pacific, the Enterprise business continued to regain share from pre-transaction levels. By leveraging Zebra’s historically strong relationships, together with a focus on operational execution, we are building a healthier and stronger channel as well as an increased partner confidence. As a result, we are seeing the emergence of valuable cross-selling opportunities in China and across the region. E-commerce and online shopping continue to drive growth in transportation and logistics, which resulted in strong demand, particularly for desktop and tabletop printers. In retail, solid demand in scanning is being driven by e-commerce and mobile payment trends, particularly in China. Our sales growth demonstrates that our innovative product portfolio is enabling us to take full advantage of the trends in cloud computing, mobility and the Internet of Things. For example, the large installed base of aging legacy CE and mobile products and the acceptance of Android is driving demand for mobile devices with more up-to-date operating systems. To address this opportunity, we remain OS agnostic and are investing in both the Android and Windows platforms. By engaging early, we have established a leading position with the broadest Android-based product lineup in the industry. Our objective is to secure as much of the early adopter business as possible. After an increase of over 400% in bookings last year, this year’s bookings through the first half, have exceeded all of 2013 and 2014 combined. While this has been driven primarily by a number of large deals for customer-facing and field mobility devices, it has put some pressure on near-term margin. However, we believe this strategy will help us drive share and lead to higher margin run-rate business for Zebra going forward. Our portfolio also includes a wide array of mobile computers and wearable products that have more task-oriented or industrial-based applications, for which demand was also strong. These products generally carry higher margin and are expected to continue to contribute meaningfully to our overall mix. In addition to Android, we expect continued strong demand from Windows-based products and are investing in those opportunities. As a result, we will be introducing a number of new devices on Windows 8, which will be fully upgradable to Windows 10. These will include 8-inch and 10-inch tablets to address one of the fastest growing segments in mobile computing. Used cases include field sales and service, retail front of store and assisted selling applications. Available with either Windows or Android, our tablets will provide several benefits over consumer devices, including scanning functionality, increased durability and more processing power. Omni-channel also continues to drive demand. In retail and transportation and logistics, customers are seeking solutions for everything from growing online commerce to order fulfillment via traditional brick-and-mortar stores. As a result, growth in mobile printers and 3D scanners is accelerating. In printing, we have established a competitive differentiator with Link-OS, a software platform that makes printers easy to integrate, manage and monitor from any location. This Enterprise asset intelligence solution benefits customers through improved actionable information about their operations and the performance of their assets from any location. Bookings in the second quarter, due to the multimillion dollar order by a national food company for 5,000 printers, supplies the Link-OS platform and Zebra OneCare services. The customer’s objectives were to reduce cost, implement device management and improve efficiency. In wireless LAN, we are investing in a path to grow. This year, we have added internal sales resources, expanded our channel network by over 100 partners and focused heavily on building our pipeline. Recent results include strong demand for our 802.11ac product and an increase in several brand awareness and lead generation metrics. In services, we made solid progress on integrating resources and creating one global service organization. The team is focused on serving our customers and improving performance and repair turnaround time, quality management, call handling and case cycle times. In EMEA and Asia Pacific, we are now delivering at much higher levels of performance, as on-time repairs have stabilized. In North America and Latin America, we have increased service levels as well but have more to do. Operational improvements, along with improved alignment between services, resources and channel teams and the launch of Zebra OneCare have begun to improve attach and renewal rates. In managed services, bookings are trending up, with encouraging levels of orders and pipeline growth for our recently launched asset visibility platform and operational visibility subscription services. The growth that we have delivered in the quarter and since the acquisition of the Enterprise business validates our strategy. It also demonstrates our ability to execute on our continuing commitment for meeting our customers’ needs for asset visibility solutions. I will now turn the call over to Mike, who will provide more details on our financial results and the outlook for the third quarter. I will then return for some closing remarks.
Mike Smiley: Thank you, Anders. Total GAAP sales for the company were $890 million. Enterprise sales, excluding the impact of purchase accounting, were $573 million, up 9% on a constant currency basis, primarily due to higher sales of mobile computing and scanning products. Pre-transaction Zebra sales were $321 million, up 17% on a constant currency basis. In addition to solid growth in printing, sales of location solutions were up significantly from a year ago. This reflected growth in the industrial vertical and the continued rollout of our MotionWorks tracking solution for the NFL. Sales of Hart retail inventory solutions were comparable to a year ago and seasonally lower than the first quarter. In North America, sales were up $418 million excluding the impact of purchase accounting, were up 7% year-over-year. Growth in printing, mobile computing and scanning was offset partially by lower sales and services in wireless LAN. In mobile computing, our success with several large retail customers resulted in the sale of a higher proportion of MC40 and TC55 devices than we have seen in recent quarters. EMEA sales were $303 million, up 16% year-over-year on a constant currency basis. This reflects strong demand across the region. From a product perspective, sales increased significantly in printing, scanning and mobile computing. Sales in Asia-Pacific were $117 million, up 20% year-over-year. Sales of Enterprise products grew substantially as we continued to gain traction from improvements in operational efficiencies and channel management compared to a year ago. Sales of printing and supplies were also up significantly. In Latin America, sales were $55 million, roughly flat compared to a year ago. Continuing macroeconomic challenges have pressured sales in Brazil, which we have offset with modest growth across the rest of the region. Gross margin for the quarter was 44.2%. This reflects the impact of purchase accounting and one-time accounting adjustments related to Enterprise that adversely affected results. Additionally, we incurred expenses associated with re-branding of products containing the Motorola marks. Product re-branding activities will continue according to the staggered cutover schedule through the end of next year. However, we expect the majority of this effort and the associated cost to be completed by the end of this year. Excluding these factors, gross margin will be approximately 45.3% and 42.8% for total Zebra and Enterprise, respectively. Gross margin for the pre-transaction Zebra business, which is unaffected by these items, was 49.9%. Enterprise gross margin was also impacted by the mobile computing product mix. While we saw solid growth in our task-oriented industrial products, there was margin pressure associated with high levels of sales of customer-facing and field mobility devices to large retail and postal customers. Fluctuations in mix can be a challenge to predict in the near-term as we address the OS migration opportunity and balance our growth with higher margin run rate business. Finally, in the services business, the results of which are included in our segment results, gross margin improved sequentially due to lower repair costs and was in line with our expectations. Operating expenses for sales and marketing, R&D and G&A were $293 million, including $8 million of stock-based compensation expense. The increase compared to the first quarter of the year is primarily a result of higher marketing expenses and the impact of our annual merit increase. To-date, with our focus on our cost synergy programs and improvements in operating leverage, we have captured approximately $60 million of savings and remain on track to achieve our target of $150 million of run rate savings by the end of 2016. In addition, we believe that there is potential to achieve further operating leverage beyond the 2-year timeframe. Other operating expenses in the quarter included amortization of intangible assets of $63.7 million and acquisition and integration and exit and restructuring costs of $49.1 million. In the quarter, we recorded $11.3 million foreign exchange gain. Recently, we added Enterprise business activity to our balance sheet program – hedging program, which is expected to reduce the volatility of foreign exchange movements on net monetary assets. We also plan to incorporate Enterprise into our cash flow hedging program during the third quarter. Interest expense is $49.3 million, including $5.1 million for amortization of debt issuance costs. The GAAP net loss per share was $1.50 and includes income tax charges associated with our ongoing legal entity rationalization strategy. On a non-GAAP basis, earnings per share were $1.05 compared to $0.92 in the second quarter of last year. Adjusted EBITDA was $132 million or 48% of sales. While we remain committed to achieving the 18% to 20% long-term EBITDA margin target we established when we announced the deal, second quarter EBITDA margin of nearly 19% – second quarter EBITDA margin was nearly 19% on a constant currency basis. Turning now to cash, we ended the quarter with $205 million in cash, including $156 million held outside the U.S. During the quarter, we made total loan repayments of $80 million, bringing the total repayment so far this year to $130 million. Next, I will provide some perspectives on the second half and our guidance for the third quarter of 2015. As you look ahead for the balance of the year, we expect sales momentum to continue. However, growth rates in both enterprise and printing will moderate compared to the first half, given the strong results in the third and fourth quarters of a year ago. From a margin perspective, we expect a continuation of large deal activities as we drive the OS transition and additional expenses associated with the Enterprise product re-branding activity. We also will begin to see the impact of price increases in certain international markets, including Europe and cost synergy benefits. This is expected to result gross margins generally consistent with the second quarter, excluding one-time adjustments. For the third quarter, we expect total sales in the range of $900 million to $930 million, flat to up 2.5% year-over-year and up 4% to 7% on a constant currency basis. We expect non-GAAP earnings in the range of $1.10 to $1.35 and adjusted EBITDA in the range of $135 million to $150 million. Gross margin is expected to be in the range of 44.8% to 45.8%. Operating expenses for sales, marketing, R&D and G&A are expected to be in the range of $293 million to $298 million, including stock-based compensation expense of $8 million. On a sequential basis, the increase is primarily related to investments in mobile computing. We anticipate cash interest expense of $45 million and assume an annualized non-GAAP tax rate in the range of 22% to 24%. I will now turn the call back to Anders for his closing remarks.
Anders Gustafsson: Thank you, Mike. On our last call, I talked about the priorities that we believe will drive the continued success of the business and shareholder value. They are growth, execution and cultural and business transformation. I would like to provide you with a brief update on each. Beginning with growth, we are engaging more deeply with strategic accounts, developing cross-selling opportunities, enabling the OS transition and strengthening our services and wireless LAN businesses. Better together is also showing results. In addition to North America – to the North America retail deal I mentioned earlier, there have been a number of other important wins. These include the retail award in Asia-Pacific that incorporated mobile computers and mobile printers and a customer in EMEA, who purchased an asset tracking solution involving mobile computers, scanners and printers. All of these wins further underscore the strength of our end-to-end solutions. In addition, we are capitalizing on several market trends. These include the need for customers to upgrade technology, including updated operating systems as well as a deeper penetration of technology into the enterprise. There is also significant opportunity in Enterprise Asset Intelligence applications that are currently in the early stages of adoption. Used cases include inventory monitoring to enhance security and availability, order fulfillment to improve customer delivery times, improve manufacturing process controls and finishing the mobility and workflow. With this momentum, combined with an industry leading portfolio, I am confident in our ability to continue to grow this business. From an execution perspective, we are focused on improving operational efficiency and effectively managing our investments for future growth. Our services and channel improvements are two examples as well as the early termination of several transition service agreements with Motorola Solutions. To improve efficiency and reduce costs, we have exited 14 sites so far this year. We will be exiting or consolidating others as we continue our integration activities. This includes the consolidation of our North American distribution centers, which should be completed before the end of next year. From an investment perspective, our priorities continue to be top line growth, product innovation, strengthening the team and extending our leadership position. Finally, significant business and cultural transformation is taking place within the company. For example, since we acquired Enterprise, we have had three specific objectives in our sales organization. First, quickly unify the teams and present one face to the customer. Second, be partner-centric in our go-to-market strategy, which includes improving our effectiveness in the channel, expanding our partner network to enhance our reach and implementing a best-in-class partner program. And third, begin to transform to a more solutions-based sales organization. As you are aware, two sales teams were unified into one global team almost immediately following the acquisition. More recently, we migrated the team on to a single customer relationship management system, which will result in a meaningful improvement in efficiency. We are also well underway with our second objective. More partners have come on board since the start of the year and we will launch a unified channel program early next year. As for transformation, we continue to build on the foundation of strong partner relationships and a broad portfolio. Recently, we launched the steel building initiative focused on further strengthening our salesforce’s knowledge of the full Zebra portfolio and enhancing our solution and selling capabilities. Collectively, achieving these three objectives will enable us to continue to move up the value chain and deliver differentiated solutions to our customers. Finally, we believe that culture is an enabler and we are being very thoughtful about how we shape the culture and organization design to support our long-term strategy. I am very pleased with the progress that we have made. In closing, we believe that with the commitment and dedication of our team, together with the trends in mobility, the cloud and Internet of Things, we are well-positioned to deliver on Enterprise Asset Intelligence and meet the needs of our partners and customers. Thank you for your continued support of Zebra. I also want to thank our employees for their considerable efforts to realize our One Zebra mission and hard work to satisfy our customers every day. And now, I would like to turn the call back to Dean for Q&A.
Dean Lindroth: Thank you, Anders. Before we open the call to your questions, let me ask that you limit yourself to one question and one follow-up. Operator, can you provide our callers with instructions on how to ask a question?
Operator: Thank you. [Operator Instructions] And our first question comes from Richard Eastman from Robert Baird.
Richard Eastman: Yes, good morning. Just the first question, could you kind of speak to now with a couple of quarters of Enterprise consolidated here, could you maybe speak to the orders in the quarter for Enterprise and potentially what the book-to-bill look like and how comfortable you feel now with the visibility that you are gaining on the Enterprise business as more of a backlog-driven business?
Anders Gustafsson: Yes. So, we feel good about the progress we have seen in the business so far. Generally, we only enter a quarter with about 20% booked before at the beginning of the quarter. So, we really have to win the business in the quarter, but we put a lot of emphasis on pipeline management and being very disciplined in how we build up our forecast, our pipelines, and the opportunities that we go after. And we feel quite good that we have a much better visibility into the outlook. And we manage it on a weekly basis basically to ensure that we stay very close to it. And I will ask Joe Heel also to give some extra color on that.
Joe Heel: Yes, sure. Hi, Joe Heel here. In terms of the pipeline management, as Anders said, we have added – lifted our sights a little bit in terms of the duration that we look out ahead and we now plan our pipeline one or even two quarters ahead. That’s given us a lot better visibility. We have worked – also worked very hard on what we call the run-rate, which is the business that goes through distribution that’s not in large deal and increasing that in the Enterprise business is our focus and has been quite successful for us since we have made the acquisition.
Richard Eastman: Okay. And then the second question maybe for Mike, could you address the free cash flow year-to-date date and maybe there is a couple of big tax payments made in each of the quarters if that continues, but how does – can you give us any sense of what the free cash flow should look like for the full year?
Mike Smiley: Yes. I guess the big thing I would say is that we certainly have big tax payments that go out in the second quarter. So, that affected our cash flow. The other thing is if we can get you to come visit us here in Lincolnshire, we moved into a new consolidated business, which drove some leasehold improvements, which is more or less a lot of it behind us, which drove some of the CapEx numbers. So, generally and as we go forward I would say we will continue to invest in integrating the company that’s primarily from an IT standpoint. So, I would expect though the first half had a meaningful part of leasehold improvement, in the second half, we will continue on with ERP integration activities. So, again, I don’t expect the tax payments to be as meaningful as it was in the second half. I would expect the CapEx to be somewhat maybe a little bit lower in the second half than the first half because of the building leasehold improvements we made in the first half.
Richard Eastman: Is there any range or forecast on free cash flow for the full year you would be willing to offer?
Mike Smiley: No. Yes, we don’t do that. But I would say that you saw that we repaid another $80 million of debt in the second quarter bringing the total to $130 million. We continue to see good cash flow in the second half and I think we are on track for our goal of three times debt to EBITDA at the end of 3 years. So I am feeling really good about the management of our cash flow and getting us to the targets we have committed to at the time of the acquisition.
Richard Eastman: Okay, thank you.
Anders Gustafsson: Yes. Next question please.
Operator: Our next question is from Keith Housum from Northcoast.
Keith Housum: Good morning gentlemen. Let me ask a question, I think this is probably a pressure point for you guys you today and it’s is going to be on your guidance for the third quarter, most particularly the gross margins, Mike can you give a little more color on how you guys are looking now, I think you guys said 45.3% without the one-time costs, but give us a little more idea about what the rebranding costs would be in the third and fourth quarter and is there any more color you can give us on exactly the impact that the large deals have and the gross margin compared to your run rate business?
Mike Smiley: Yes. So I guess on the – first of all, just to start out, the margin obviously is at the lower end of sort of what we were expecting we gave guidance. I will say that I am pleased with the success of the deals that we have because it put our sales at the top end. And I think Anders at some point will talk about fact that Android has been extremely well received. We won some very large deals. So generally, those large deals have I think for the business demonstrated that we are successful against consumer-grade devices and there is also the strong pickup of Android. Be that as it may, roughly 1% of our gross margin hit in the quarter was associated with what I would call unusual items. A piece of that is rebranding. So with the Motorola transaction, we have the ability to use the Motorola brand for a certain period of time and that’s staggered. So we would expect $2 million to $4 million per quarter through the rest of this year, sort of trailing off next year, affecting our gross margin and we have incorporated that into our guidance for the third quarter. We also have – we also had a number of units that we sold through MSI consistent based on our purchase agreement with very, very favorably pricing, which affected our margin, that stops this quarter. We also – I would say, we had a – as you go to the grocery store and you buy milk real cheap, so you buy all the other stuff for a while, we had some sales went through in the second quarter, which was sort of low margin profitability, which will benefit us as we go forward. So there is a number of things sort of on the unusual one-time items that will go forward. So as you look at it in the second half, I would say the reason we have the guidance that we do is that we have an expectation for continuing to be successful in some large deals, which is going to dampen some of our margin reflected in our guidance. We still have the rebranding efforts going forward, which again is $2 million to $4 million as we guess it right now. That’s offset by the price increases that we talked about in Europe. I think that as the year goes on, those price increases will continue to have some modest benefit for us. And then we also have some cost synergy benefits which are generally on track with what we said from our synergy capture assumptions. So with that, we are expecting second half, again, because – primarily because of large deal activity, to be in line with our Q2, excluding one-time items.
Keith Housum: So it sounds like the fourth quarter should be much better than from a gross margin perspective than the third quarter, is that a good take on that?
Mike Smiley: No. The good thing is we – Anders will talk more about this but this OS migration provides a huge opportunity for customers to reconsider what solutions they want going forward. I would call this a huge jump ball where it provides an opportunity to grab more market share than perhaps we have been able to do over the last several years. As a result of that, there are large deals coming, very attractive large deals that as we are successful with again with our Android portfolio and such that we should be able to capture those deals. And so that’s where we would say in the second half, we expect to continue to be successful with that – with the large deals. I don’t know Anders, if you want to give some more color?
Anders Gustafsson: Yes. I think we believe that it's very important for us now to take advantage of this discontinuity we can call it in the marketplace and really focus on extending our leadership and pursue these large deals very aggressively. This OS migration is something that happens probably once every decade or something. And we have a product portfolio that’s now very well positioned for this and our customers are –we are also very well positioned with customers to do this. So we want to make sure we get this – many of these orders as we can. But we also can recognize and our history has shown that once we get these deals, we will start working the cost side of these things. We will start cross-selling other opportunities into them. We would expand our footprints within those accounts. And margins will improve based on that, they would be very attractive business over the longer term.
Mike Smiley: And just to follow-up real quick, I also think as we win these large deals and gain market share, it will later on build our run rate business, which comes with a higher – which naturally comes with a higher margin for us. So I think winning this jump ball right now is important for our future building that run rate higher margin business.
Keith Housum: Okay. So, it sounds like for this year, the EBITDA margins of 18% to 20% is not likely by you are finding on being able to reach that goal next year?
Mike Smiley: We have talked about our goal was more at the end of roughly 2 or 3 years. So, given – I mean, the one thing I would highlight is that gives me some comfort is that we did a constant currency adjustment for our EBITDA margin. We would effectively be at the target we had hoped for 3 years ago – that we hope for in a couple of years. So I think we are operating the business in a good way. We obviously have more foreign exchange headwinds than when we close the deal. Even with those headwinds though, we still think in 2 years, 3 years – 2 years or 3 years from the time the transaction closed, we will hit the 18%, 19%, 20% EBITDA margin that we had told investors. So I think that’s pretty good considering the fact that we have the FX challenge.
Keith Housum: Okay. Inside asking the questions, but I guess the last one for the current quarter, what impact did FX have on your EPS line?
Mike Smiley: From our guidance, really virtually nothing, if you look at it from a year-over-year standpoint, our gross margin would have been three points higher than we reflected. So again, that’s a huge impact to our profitability year-over-year.
Keith Housum: Alright, I will jump back in the queue. Thank you.
Anders Gustafsson: Next question please.
Operator: Our next question is from Tim Mulrooney from William Blair.
Tim Mulrooney: Good morning.
Anders Gustafsson: Good morning.
Tim Mulrooney: You guys announced the Royal Mail win in the UK in June, can you give us any sense for the amount of revenue associated with that deal and are you selling any other product or services as part of that deal other than the TC75?
Anders Gustafsson: Yes, we – unfortunately, we can’t talk about revenues for this. We have got to have permission from our customers by what we share. But we are – we have shared that the TC75 is by far the largest product in that contract, but it also includes some wearable computers, some ring scanners and also a number of services. So, it’s a much broader portfolio and we can already see that having beat the asset or brought in a asset customer. We are positioned to be able to pursue all sorts of other opportunities that are coming along, Joe any further...?
Joe Heel: Perhaps the other thing that’s important than a trend that we see is that together with our partner, which is British Telecom in this case and our ISP partner Packet Mobile this was sold as a managed service to Royal Mail which is I think way that our customers are increasingly interested in consuming these solutions.
Tim Mulrooney: Okay. I know Honeywell won the U.S. Post Office PDA business in 2014, I assume they competed for the Royal Mail business as well, are there any key differentiators in your product or service offering that you can point to that you think really helped you win this Royal Mail business?
Joe Heel: Yes. Joe Heel again, in this case we know that the selection process had several levels, and we know that Honeywell didn’t kind of proceed based on the product portfolio. So the product portfolio in this case, our breadth of Android capabilities was very instrumental in our ability to secure the business.
Tim Mulrooney: Got it. Stepping away from the large deals, I am wondering if you can talk about how the run-rate business performed in the second quarter?
Anders Gustafsson: The run-rate business is actually very strong. It grew quite nicely. It didn’t grow quite as fast as the large deals, but the run-rate business grew very well with our printer business, our data capture business and a good chunk of our mobile computer business really is run-rate business and that performed very well across the board, across all geographies.
Tim Mulrooney: Was it up year-over-year?
Anders Gustafsson: Yes, it was up healthily.
Tim Mulrooney: Okay, got it. Thank you. And then the last one, this one is probably for Mike. I am wondering if Mike you gave us an understanding of what we should expect for the cost-cutting targets for 2016, where do you expect to be at on a run-rate basis by the end of 2015? Thank you.
Mike Smiley: I think, if you look at our guidance for the third quarter that would give you an indication, although I think the synergies will continue to improve even in the fourth quarter. The challenge is – so lot of the selling synergies have already been captured in our expense and reflected in our forecast. The procurement benefits that we have talked about are primarily going to rollout more in the fourth quarter as we go forward. So, the guidance I think we gave for the third quarter is it gives you an idea about where we expect margins to be generally towards the back half of the year.
Anders Gustafsson: We will take our next question please.
Operator: Our next question is from Andrew Spinola from Wells Fargo.
Andrew Spinola: Thanks. I wanted to ask just more high level on the OS transition that you have been mentioning during the call. We have been sort of trying to figure out what’s driving the strong growth that you’ve shown for the last six quarters and guided to here in Q3. And I know part of it’s been the OS transition but it sounds to me while listening to you that maybe we’re a little bit earlier in this OS transition than I thought. Can you maybe give us a sense of in what inning we are and what sort of growth you can see in ‘16 and beyond from the OS transition?
Anders Gustafsson: Yes. First, I’d say the growth that we’ve seen has come from basically all our product lines. Printers which is not really tied to any OS upgrade, has grown very nicely. Data capture portfolio has been growing very nicely. The OS migration is really exclusively an issue for our mobile computer business. But even there, we’ve seen a lot of growth that are not tied to that. So the growth drivers that we have seen has been very substantial and I will just go through a couple of other growth drivers before I’ll touch on the OS migration. But I think the whole Better Together for Zebra is paying results. We are seeing many more cross-selling opportunities. We are selling, say, if you have an installed accounts, installed base account, with one product, we now have much better success of selling one or two more products into that account. We are seeing our channel partners being much more eager to sell the entire portfolio of products. So we see very good overall performance of growth and how we have executed on this strategy that we set out. Now, the OS migration is somewhat unique. It’s driven by some of the older existing OS today widely deployed that are going to be taken out of service for – in some years. This means that basically, a lot of our customers will need to find an upgrade path between now and the next several years. And we are – our approach to this is to make sure that we are OS agnostic. We want to work with our customers to figure out what is the best upgrade path for them, for all intents and purposes, they have two upgrade paths. They can go to Windows 10 or they can go to Android. We now have a strong lead with Android and we try to capitalize on that but we’re also working very hard to make sure we have the full portfolio products to engage with our customers. And I’d also ask Joe to fill in a few more bits here.
Joe Heel: Yes, perhaps on the growth driver around mobile computing and the OS migration that’s occurring there. The book end of the time line is really the end of service that has been announced for Windows CE and Windows Mobile, which 90% - over 90% of the install base today is on operating system. That’s in 2020. Based on that, we’re sort of seeing, to use our baseball analogy, maybe we’re in the third inning. There are clearly some early adopters that have already made the migration that Anders described. But the bulk of the migration we believe is still ahead of us. In total, we think there is over 15 million, of these mobile computers out there that are installed. And perhaps 10% of them have migrated so far. So that gives you a little bit of an idea of the timing.
Andrew Spinola: Thanks. That’s helpful. Then one question for Mike Smiley, you mentioned earlier in the call that on a constant currency basis, the business would’ve done a 19% EBITDA in the quarter and I know there’s a lot of adjustments that occur throughout the end markets and the supply chain when FX changes. But longer term, with the price increases and other things on the cost side, how much of the FX impact can you reverse? So is 19% a relevant number because you can get back to that in time or does the FX impact remain as long as the dollar stays here? Thanks.
Mike Smiley: So, just as a reference point, so we announced the deal, the Euro was basically 1.33 and were basic roughly 1.10, 1.08. So as you can imagine, it has a big impact on our top line and our profitability. That said, we still expect at the end of three years, which is when we said and we announced the deal that we would get to the 18% to 20%. So, my point would be is even with that FX, we feel confident with the synergies that we are doing, with leverage on the business. In other words, our OpEx is going to grow at a slower rate than our revenue and that’s because of a lot of integration efforts are going on. We still feel comfortable with the 18% to 20% that we quoted when we announced the deal even with the FX.
Anders Gustafsson: Yes, one point to add maybe here. Most of our competitors are dollar-denominated companies. And I would say pretty much everybody’s supply chain is predominantly dollar-denominated. So, there is nobody who really gets a windfall by having a lot more cost in Europe, say. There is certainly some who have more costs in Europe, but it’s on the margin side. So I think that everybody is more or less in the same boat.
Joe Heel: And to that point, as again we mentioned a quarter or so ago that we increased the prices in Europe, nice thing is our business continues to grow very strongly even with those price increases. So I think that’s another positive thing for our ability to drive towards the 18% to 20% EBITDA margin. Next question please.
Operator: Our next question is from Holden Lewis from Oppenheimer. 
Holden Lewis: Maybe switching over to the SG&A line, I think at the end of Q1, you said you are at a $50 million run rate in terms of the synergies. That equates to basically $12.5 million sort of down per quarter. In Q2, you’re kind of at the same revenue stream, same revenue level as Q1. The costs were actually up a little bit. So I guess I’m trying to get a sense of where did all those savings go? How come I can’t see them a little bit more than model?
Mike Smiley: Well, I think a couple of things. Number one is in the first quarter and the second quarter we had a fair amount of cost that didn’t come over. So, for example, we didn’t have a full complement of finance people. So, when you look at our expense, even though some of these areas will increase as the year progressed that had relative to what the baseline was when we acquired the business, it’s still below what that baseline was, that pro forma number. The other piece is our top line continues to grow at a rate much faster than our OpEx, so that by definition, gives us our – helps us drive our margin improvement. I think one thing we’re trying to be clear on is that we’re driving towards net synergy improvement. So if you really look at it gross, we are doing very well on things we’ve identified but we need to make sure that after the increases that we’re still net $150 million of savings in Year two. So that’s why you’re sort of seeing not the savings in absolute dollars from the first quarter because some of those costs really didn’t come over when we acquired the business.
Holden Lewis: Okay. And I guess you touched on my second question, obviously, you are spending on various elements of the business. You’ve been open about that. But when you talk about that $150 million, you are referring to that as being a net number to the bottom line, right? You’re not talking about that being a gross number and then you plan on spending some of the windfall, if you will, so if the net number is more like $75 million or $100 million. I just want to make sure I am clear on exactly how you plan to utilize that $150 million?
Anders Gustafsson: So, the net number is what we expect to pull out of the business. And the target I would suggest you focus on is the EBITDA margin of 18% to 20%. So, the point would be is as we drive and are more successful in some of these synergies, we really want to invest it in the business. So, for example, we are continuing to invest in our mobile computer business to expand Android, to be able to provide good Windows solutions. So, it’s not like everything comes down necessarily to the bottom line in terms of dollars, but when we get the EBITDA margin of 18% to 20%, that’s sort of the hard target, I think as an investor you should focus on.
Holden Lewis: Okay, thank you.
Anders Gustafsson: Next question please.
Operator: It’s from Paul Coster from JPMorgan.
Paul Coster: Yes, thanks. Mike, perhaps you could just give us some sense of where you stand from a debt to EBITDA ratio level now and some investors are sort of looking to see whether you might perhaps start to allocate some capital to buybacks again. Under what circumstances, would you do that?
Mike Smiley: Our debt-to-EBITDA has improved modestly for obviously when we did the deal. It’s – again, we have paid down $130 million. We see the second half that will continue to generate strong cash flows to further pay down our debt. But as far as buying back shares, I think we are, I don’t want to say I think, we are absolutely committed to reducing our leverage to three times debt to EBITDA over the next three years. So, I don’t think anybody should expect us to be buying back stock for the near term.
Paul Coster: Okay. I think, Anders, you mentioned that you went head-to-head in some smartphones for some contracts and of course we are pleased that you won. But of course, it also raises the question of how close was that? What is it that separates your mobile computing solutions from the smartphone off-the-shelf solutions?
Anders Gustafsson: So, there is a lot of things that separate us. One of the accounts we talked about was actually win back from that already installed, a very prominent smartphone and we were able to win them back to our platform. So, there was not any incumbent Zebra account. And the reason they did that was that they recognized that our total cost of ownership turns out to be much better. Our devices are much more designed for the used cases that these customers have particularly within the enterprise. So, a greater control of the operating system environment, a much greater security, control of the applications they use, the ruggedness of the device, you have battery life that lasts the entire shift. Many of these customers are also heavy scanner, use the device for scanning and our scan capability has much improved compared to any consumer device. So, we have probably 10 different features or functions that really distinguish us compared to our smartphone competitors.
Joe Heel: I would add two more, especially as for those customers who consider Android, remember there are two choices, Windows 10 and Android. On the – for those customers the consider Android, we have invested heavily in extensions to Android that ensure the security and the longevity of the platform. And those are key factors when people make decisions that they don’t find to the same degree on consumer devices.
Paul Coster: Okay. My last question is I know that you still have a number of transfer service agreements that I think I might recall, with Motorola and you are keen to get itself off any dependencies where from an operational perspective, what is the status now?
Anders Gustafsson: We are making good – making very good progress. I think one thing that we just recently completed was implementing a single CRM program that’s supporting the sales group. It gives Joe and his team visibility to the pipeline. So, as Joe was talking about visibility, I think one thing is we have integrated tool. That was his plan. I think generally, everything is on plan. We realize that this is a big task, but we have the right people working on it. So, I think we are generally on task for what we are looking to accomplish.
Paul Coster: Okay, thank you.
Operator: [Operator Instructions] We have a question from Keith Housum from Northcoast.
Keith Housum: Hey, guys. I appreciate the opportunity for follow-up. Mike just a little bit more clarification on the guidance and the revenue line,, I think on an organic basis, constant currency, you are talking revenue growth of 4% to 7%. In the quarter, we saw enterprise up 9% and printers up 11%. And I think you guys, easier comp in Asia and you have at least part of the World Mail deal going into the third quarter. I guess, help me understand why the revenue guidance is a little bit higher in the third quarter?
Mike Smiley: As a percentage of growth, obviously, the third quarter last year was much stronger. So, as we mentioned, the second half as far as year-over-year growth is going to be a little bit more difficult than the first half as we go forward. And I think we give a range because we know that some of these large deals are very binary. You either win them or you lose them. I think in the second quarter, we ended up winning a deal, which by the way, the customer requested or at least demanded, but they strongly requested that we deliver in the quarter, which was different than our forecasts. So, a lot of the stuff is very, very lumpy. I don’t know if Joe or Anders if they have more color on the back half?
Anders Gustafsson: I think we believe that we started off with a very strong backlog. We had good backlog going into Q3 and bookings trends certainly support the guidance we have given, but also got to remember that Q3, particularly Q3 last year from an enterprise perspective, was a big bounce up from Q2. So, the comps are a little harder, but we still feel that we have very good sales momentum. The pipeline is very good for Q3 and for Q4 and beyond. So, we feel good about where we are from a revenue perspective. And if you go back to when we first combined the businesses, I think that was one of the big concerns that could we get growth out of the business. And I feel good about what we have been able to achieve so far in the trajectory we are on that we are growing healthily, we have been able to compete against the consumer devices and create a very solid, very profitable business.
Keith Housum: Okay. One follow-up, Anders, I think you said before that traditionally, your pipeline was like you saw 20% of your pipeline going into the quarter, is that number greater in the third quarter I guess what could you say that is?
Anders Gustafsson: It was a little stronger than what we would normally see, but we still have to win the majority of the business in the quarter. It’s not like its orders of magnitude a bit different.
Keith Housum: Okay, alright. Thank you.
Operator: And we have no further questions and I will now turn the call back over to Dean Lindroth for closing comments.
Dean Lindroth: Thank you. This concludes our call for today. Thank you for joining us.